Operator: Good day everyone and welcome to the Hibbett SportsIncorporated Conference Call. Today's call is being recorded. At this time foropening remarks and introductions, I would like to turn the call over to theChairman and Chief Executive Officer, Mr. Mickey Newsome. Please go ahead sir.
Mickey Newsome: Thank you and good afternoon everyone. This is MickeyNewsome. I have with me also Gary Smith, our Chief Financial Officer, and JeffRosenthal, our VP of Merchandise. They will be certainly available forquestions. We appreciate all of you being with us today and your interest inHibbett Sporting Goods. Before we start, Gary Smith will cover the Safe Harborlanguage.
Gary Smith: In order for us to take advantage of Safe Harbor rules, Iwould like to remind you that any projections or statements made today reflectour current views with respect to future events in our financial performance. There is no assurance that such events will occur or thatany projections will be achieved. Our actual results could differ materiallyfrom any projections due to various risk factors which are described from timeto time in our periodic reports with the SEC.
Mickey Newsome: Thank you, Gary.As you know from our press release this afternoon, our earnings per dilutedshare were $0.25. On a calendar basis, overall sales increased 7.8%, andsame-store sales increased 1.2%, and that was going against a 7.1% comp storesales increase of one year ago. On a calendar basis, August was positive mid single-digits,September was flat, and October was negative low single-digits. We thinkOctober was negative primarily due to the warm weather, because apparel was thesoftest piece of the business. On a calendar basis, August, enclosed mallsoutperformed strip center stores for the first time in more than three years.But in the September-October timeframe, strip center stores again outperformedenclosed malls. For the quarter, enclosed mallswhere flat and strip center stores were up 2%. The first 15 days as expectedand planned of November by the calendar, comps were down mid single-digits. Nowwhy did we plan it that way? These are the reasons. Days inventory is very muchin line with our plan. We choose to take markdowns this year, this week, theweek of Thanksgiving, primarily, Friday, Saturday, Sunday. And last year, wetook mark downs in the very first week of November. That made a big differencein sales. Last year also, we had the Alabama ordering gameone week early. It was Alabamaordering game this year is this Saturday, a year ago it was last Saturday. Thishad a big impact on our College license. The reason we took markdowns laterthis year also, we want to have as big an impact as possible, but three daysafter Thanksgiving. We think we can do very well. Each of the last three years, theconsumer has waited longer and longer to buy for Christmas. We expect the samething to happen again this year. We expect the weekend after Thanksgiving to bevery strong, the ten days before Christmas to be very strong and the weekafter. That has been a continuing trend. New stores. We opened 18 new stores in the third quarter andclosed two. We plan to open 42 to 46 new stores in a quarter forward and closetwo. For the year, we plan to open 86 to 90 new stores and close none. 12 ofour fourth quarter stores are planned for the State of Texas in smaller markets as usual. We planto open 100 new stores next year and close 7 to 10. 95% of our new stores thisyear and next year will be in strip centers. Our real estate staff has done a great job; our merchantsare doing a great job of putting the right merchandise in the right store basedon customer's needs and wants. And our store operation's team has done a greatjob of hiring, training and developing new managements for all these newstores. We are excited about our future. Now, to tell more about trends in thethird quarter, Jeff Rosenthal will speak with you.
Jeff Rosenthal: We have three major areas of business of apparel, footwearand equipment. On a calendar basis, athletic apparel continues to perform verywell from Nike and Under Armour. All genders, men's, women's and kid's are upin athletic apparel. We see this trend improving as we approach the holidaybusiness in December and January. Urban apparel has improved from the first and secondquarters. We are optimistic that this would turn positive in the fourthquarter. Licensed apparel was down single-digits. College is slightly down,however we see this business being positive for the fourth quarter. Pro licenseapparel down single-digits and will continue to be challenging for the fourthquarter. Footwear performed better than expected for the thirdquarter up single-digits. Key items for back-to-school have been Nike Shox, theAir Force One's, Jordan's,Asics Technical Running Shoes, New Balance Zips, Adidas Bounce products, DC andEtnies. Classic footwear has remained tough. Equipment was downsingle-digits, but accessories were up high single-digits with socks, bags andbag-packs, leading the way from Nike, Under Armour and Adidas. Inventory is ingood shape and we are well positioned for the fourth quarter business.
Mickey Newsome: Thank you, Jeff. Gary Smith will now speak with you.
Gary Smith: Due to the shift into the retail calendar, total sales were$129.6 million which was a slight decrease from last year. We had improvementin product margin rate, but this was offset by the deleveraging of storeoccupancy and warehouse costs. Selling and administrative costs increased 8.6% over theprior year, but deleveraged as a rate of sale. EPS came in at $0.25 versus lastyear's $0.31. For the year, total sales increased 4.7% to $378 million,while fiscal comp store sales declined 2.5%. Again, improvement in productmargin rate was offset by the deleveraging of both store and warehouse. Selling and admin cost increased to 120 basis points fromthe prior year mainly due to the deleveraging of payroll cost, increased stockoption expense and increased spends in both advertising and data processing.EPS for the 39-week period came in at $0.71 versus last year's $0.78. From a balance sheet perspective, the company ended thequarter with $11 million in cash versus $13 million last year. We spent approximately$5.7 million on the stock buyback from the quarter, $26.4 million this year and$123.8 million since inception. Inventories increased 13.4% over the previous year, in partdue to an additional 20 stores that are planned to open throughout the quarterversus last year's openings and the shift in the retail calendar as it relatesto Thanksgiving. We spent $4 million in CapEx for the quarter and a little over$10 million for the year.
Mickey Newsome: Thank you, Gary.Operator, we are now ready for questions.
Operator: Thank you, sir. (Operator Instructions) And we'll go firstto John Shanley with Susquehanna Financial Group.
John Shanley -Susquehanna Financial Group: Thank you, and good evening, guys.
Mickey Newsome: Hi, John.
John Shanley -Susquehanna Financial Group: Gary,opening the number of stores that the company is planning in the fourth quarteris substantially larger quantity than what the company had opened in previousfourth quarter. And I wonder if you can give us some insight in terms of whathappened in the third quarter. I think there were less stores opened than whatyou had previously guided us to, and if there are going to be any difficulty interms of opening. And I think you said 43 stores in the fourth quarter, ifthat’s correct. That’s a large number in your largest quarter. And I justwonder if you can comment on that.
Gary Smith: John, I’ll be able to comment on it. We had some fallen outof the third quarter into the fourth quarter, and we're going to have heavyopenings in the middle of January. We are reasonably confident that we will getwhat we are saying in the fourth quarter, and there is no reason why weshouldn’t. The leases are complete. And it maybe one or two that's in doubt whenwe had a range, but we should get our stores in the fourth quarter.
John Shanley -Susquehanna Financial Group: Why weren’t they opened in the third quarter, Mickey, as yourecently indicated to us?
Mickey Newsome: Reasons, landlords in some cases. Landlords did not completethe building on time or the parking lot on time or the lease didn’t getfinished on time.
John Shanley -Susquehanna Financial Group: Okay. All right. Fair enough. And Mickey, either you orJeff, one of you: could give us an indication of how your urban focus storesdid in the third quarter compared to the rest of the chain? Are we back to anormal sales trend level in those stores or is there still some issues that youstill have to overcome?
Mickey Newsome: John, especially going through back-to-school, we saw thetrend get a lot better than it was. And we are seeing it both from a footwearand apparel, even though from an apparel side, it was slightly negative, but wesee a dramatically different than it was, say, second quarter.
John Shanley - Susquehanna Financial Group: What's driving it, Jeff? Is itsome of the apparel categories that you indicated were strong, the Nikeproduct, for example, or some of the other items that seem to be resonatingwell with that particular consumer segment?
Jeff Rosenthal: We see a lot of it from just achange in direction on some of the apparel that we carry. Most of them are notathletic brands from urban apparel side, but the footwear is definitely beingdriven by Nike on the urban side.
John Shanley - Susquehanna Financial Group: Okay. Can you give us anindication in terms of the marquee end of your footwear business? Is that asstrong as you would like it? And also, can you comment on how the mid-pricebasketball product line is doing? I think you had indicated in the last callthat that was a little bit weaker than you had expected.
Jeff Rosenthal: From a premier standpoint, NikeShox continues to perform well. Adidas Bounce product continues to performwell. And some of the marquee brands like New Balance Zip. Basketball, from aperformance side, is doing much better more from a price point and in the enduser. Some of the player shoes besides Jordan'sare not performing as well, but Jordancontinues to perform at a pretty high rate.
John Shanley - Susquehanna Financial Group: Okay.
Mickey Newsome: John, generally, the apparelpiece of the business was a little less than expected and the footwear waslittle more than expected. And the urban stores performed very well in August,not as good in September and October, but they performed well in August.
John Shanley - Susquehanna Financial Group: Was it due, Mickey, to the latestart of the back-to-school season in Texasand Floridaor were there other factors that caused that?
Jeff Rosenthal: John, I think that was part of, it was the shift to the taxfreeze, but we thought across the board in a lot of states. I think people justwaited with a lot of schools starting later, and people are buying our need andI really feel that we'll see the same thing at holiday, that people -- thefirst two or three weeks of December I think will be a little tough, but Ithink at the end, people will come.
John Shanley -Susquehanna Financial Group: Let's hope so. That sounds encouraging Jeff. Last question Ihad is: in your equipment business, it was a little bit soft in the thirdquarter, that's an important product category in the fourth quarter for you.Are there any TV products or anything else that you think is going to help tostimulate the equipment category for you at this fourth quarter period?
Jeff Rosenthal: There is a couple of small TV items, and John, I don't havethem in front of me. I don't remember what they are, but that part of ourbusiness is, even though it gets to be a more important part in the fourthquarter, it's such a small part of our business.
John Shanley -Susquehanna Financial Group: Okay. Alright, good enough. I appreciate it. Thank you verymuch guys.
Gary Smith: Thank you, John.
Operator: We'll go next to Dan Wewer with Raymond James
Dan Wewer - RaymondJames: Mickey, opening half of your stores for the year during theholiday season, but creates some type of distraction for management, perhapsyou could talk about that, and then also on the '08 openings, the 100 new stores,and would those also be back going into the fourth quarter?
Mickey Newsome: I didn't understand that last question, what was that?
Dan Wewer - RaymondJames: In next year, in the 100 new stores you are opening nextyear, will they also be skewed towards the fourth quarter?
Mickey Newsome: They will be skewed towards the back end of the year,probably not as much as this year. And we don't lack opening as many stores aswe are doing in the fourth quarter, but when you are dealing with smallmarkets, you use a dealer with small-time landlords and things happen. We have130 deals approved this year and lined up with -- around 90 new stores. We havethat many fall outs. So you're just going to have some unexpected things happento you, when you are dealing with small landlords and smaller markets, yourfinancing falls through or you don't complete something. And we are confidentwe're going to get our stores in the fourth quarter, and we think we're goinghave a pretty good opening in the first quarter, probably more than we've everhad before. But I still think we will have more in the third and fourth quarternext year than we will in the first and second quarter.
Dan Wewer - RaymondJames: And then operationally, could you talk about what unusualchallenges, opening 46 stores during the next quarter will represent?
Mickey Newsome: Well, it's a challenge, but we think we are ready, we thinkwe have the managers ready, and we are very strong operationally, and we thinkwe can get it done.
Dan Wewer - RaymondJames: This morning, Dick's was indicating a large number of newstores opening in the Southeast, many in secondary markets that are more likeHibbett-type markets. Could you comment on how your stores are holding upagainst the new Dick's competition?
Mickey Newsome: Yeah. Typically, Dick's or Big Box won't come to a smallmarket, but they will come to the mid-sized markets and we are in some ofthose, and if we're in an enclosed mall when they come, we certainly take a hitin year one, and then start coming back typically in year two. Now, if you arein a strip center you will take a little bit bigger hit in year one before youstart coming back in year two. And we think today, probably, around 20% of our stores arewithin a 15 minute driving distance of a Big Box store, and we think that willstay consistent as we expand going forward into smaller markets where they willnever go. They'll open some more in mid-sized markets, but that percent won'tgo up. So we think we'll be fine.
Dan Wewer - RaymondJames: And then as a last question I have is, shifting the timingand formations in November to Black Friday and the following weekend. Is therea chance Mickey, that your stores to get cherry-picked during this high salesvolume period? Is that going to adversely impact margins for the quarter?
Jeff Rosenthal: Well, a lot of it is just more driven off to some of theclearance type products. We are really like a lot of our key drivers like fullpriced Nike shoes and Under Armour apparel; all that is still a full price. Soit’s more of the, more from a clearance stand point and just cleaning up, so wefeel like we could still hit margins.
Dan Wewer - RaymondJames: Did you get more clearance inventory than last year?
Jeff Rosenthal: No.
Mickey Newsome: One reason we are doing this, when people come into yourstore the Friday after Thanksgiving, or Saturday after Thanksgiving, they wantto know what you got, what kind of deal you got, because it is the Friday andSaturday after Thanksgiving, and you need to have a good answer. So we justchose to take some markdowns this week rather than the first week in November,so we’d have a good answer for them.
Dan Wewer - RaymondJames: Great. Thanks and good luck.
Mickey Newsome: Thank you.
Operator: We’ll go next to Jeff Sonnek with FBR.
Jeff Sonnek - FBR: Thank you. Can you guys discuss the systems initiatives,kind of where are we at, now that we are kind of down the road a bit further,and as you kind of look into the fourth quarter, I think some of these thingsstart to roll through in terms of the spring purchasing that will be soldthrough in the fourth quarter? Are we going to see a little bit of leveragethere?
Gary Smith: Well, Jeff we have seen some product margin rate improvementthis year. With that being said, I think the merchants are getting moreaccustomed to the systems, we are getting more familiar on how they work and asyou recall, we’ve also made the conversion of cost accounting which the companyhas handled very efficiently on [my ads]. So, I would expect to see rateimprovement and turn improvement and all those sorts of things moving into nextyear. We'll be moving up on the planning piece from a productstandpoint, which going into February, we'll be putting in the replenishmentpiece, and we may even start the spadework late next year on the priceoptimization piece. So, full steam ahead for us.
Jeff Sonnek - FBR: So, it sounds like everything ison plan?
Mickey Newsome: Yes.
Jeff Sonnek - FBR: So no complications, I guess,with getting your merchants up to speed here and kind of adopting this?
Mickey Newsome: It's very adaptable. We have donea good job with the system. Anytime you give them the tools, they always do agood job and dig deep and coming away with “apparels of wisdom”.
Jeff Sonnek - FBR: Are there any “apparels of wisdom”you would care to share? Just early learnings, the type of thing that, kind of,might give us a better indication of what to expect next year?
Mickey Newsome: Jeff?
Jeff Rosenthal: What we've been able to do isreally break down our businesses in a lot smaller base, so that we can seebreakout businesses where we can get to a smaller level of detail. And we'veseen really across the apparel footwear and equipment where we've seen likewhich store sells size 3 soccer ball or which stores sell the size five soccerball. And so we're able to put inventory in better places to make it work moreefficiently.
Jeff Sonnek - FBR: Great. Best of luck. Thanks.
Mickey Newsome: Thank you.
Jeff Rosenthal: Thank you.
Operator: We'll go next to AnthonyLebiedzinski with Sidoti & Company.
Anthony Lebiedzinski - Sidoti & Company: Good afternoon. This is AnthonyLebiedzinski. Can you give us a breakdown for comp sales for average ticketversus number of transactions, both fiscal and also on the calendar basis?
Mickey Newsome: We can certainly give it to you on a calendar basis, whichis when it matches up the best with last year. The number of items wasessentially flat, and we got our increase in higher price points.
Anthony Lebiedzinski- Sidoti & Company: Okay. And what would you attribute that increase to as faras the increase in average ticket?
Mickey Newsome:
 :
Anthony Lebiedzinski- Sidoti & Company: And as far as your CapEx plans for the year, I think yousaid year-to-date that you are at about 10 million, right?
Gary Smith: That's correct.
Anthony Lebiedzinski- Sidoti & Company: And as for fourth quarter: what are your plans?
Jeff Rosenthal: Well, the number of stores -- I think in the last Q, we saidwe'd be in the $18 million range. We'll be 16-18 million, Anthony.
Anthony Lebiedzinski- Sidoti & Company: Okay. It's sort of little bit less. Okay. All right. Well,thanks.
Mickey Newsome: Thanks, Anthony.
Operator: And we go next to Sean McGowan with Needham & Company.
Sean McGowan - Needham & Company: Hi guys. Thank you. I wanted to know if you could talk alittle bit more about directions of store openings in calendar 2008? What moredo you know now than maybe last time you commented on that?
Mickey Newsome: Well, I know in the first quarter, we have 15-plus alreadylined up, and we probably have a couple of fallout. We gave a range for thefourth quarter. That will probably fall in into the first quarter. Now, I thinkthus far if we can get 15 to 20 in the first quarter, it's going to be a lotmore than we ever opened before. And then the other quarters, we certainly hopeto get more in second quarter this next year than we did previous year.
Sean McGowan - Needham & Company: I was looking for more of a little bit geographic direction.
Mickey Newsome: I'm sorry.
Sean McGowan - Needham & Company: Relative to the DC decision.
Mickey Newsome: Okay. Now, we just continue to be in the same 23 states areathat we currently operate in. We are going to do a lot on the Texas,some in Oklahoma, some in Louisiana,but we'll do some in Alabama.We'll do some in all the existing states, but Texas will be the biggest push. If we add astate at all, it's going to be probably Southern Maryland, which kind ofmatches up with Virginia or maybe Southern Delaware, which is on the same parallel, butprimarily it's going to be the same 23 states. There is plenty of opportunity.We have identified well over 400 additional markets that we could put storesin. We just got to get the real state into right price and into right position.
Sean McGowan - Needham & Company: Okay. Thank you.
Mickey Newsome: Thank you.
Operator: And we will go next to Robert Samuels with JP Morgan.
Robert Samuels - JPMorgan: Hi, good evening. When you look out to next year, can youplease talk a little bit about what you see as the key product drivers in bothfootwear and apparel?
Jeff Rosenthal: Yes. We still see significant growth with Under Armour andNike Apparel. We see our urban apparel to be coming back to normalize where wewill be able to start seeing comp store gains. And from a footwear standpoint,we see our technical running such as the A6 growing and Nike and Adidas bothgaining market share.
Robert Samuels - JPMorgan: Any new brands?
Jeff Rosenthal: And also, in the second quarter, Under Armour is coming outwith cross-training shoes and Nike is coming out with new cross-training shoes.So we believe that there are a lot of good things looking forward to in thenext year.
Mickey Newsome: And we also frankly -- Next year is an Olympic year, ofcourse. Chinashould be a big, big deal, and there is going to be some hot trends that mightreally move the needle in the third and fourth quarter coming out of thoseOlympics. So generally, it nearly happens.
Robert Samuels - JPMorgan: Great. Thanks very much.
Mickey Newsome: Thank you.
Operator: We will go next to David Magee with Suntrust RobinsonHumphrey.
Chris Rapalje -SunTrust Robinson Humphrey: Hi. This is [Chris Rapalje] on the call for David thisevening. I just had a question about your guidance. Congratulations on comingin at the high end for third quarter. And just looking at the guidance for theyear, I was wondering a little bit what was -- it looks like you went from 107to 120, down to 107 to 115, and I was just wondering what was driving, if thatwas a function of some of the store openings going into fourth quarter or ifthere was any other comment on that?
Gary Smith: Yeah, some of it had to do with the store moving from thethird to the fourth quarter. Also it’s just that the environment out there is alittle difficult or chancy at this point in time and we are just narrowing therange a bit.
Chris Rapalje -SunTrust Robinson Humphrey: Okay, great thank you very much.
Mickey Newsome: Thank you.
Operator: The next question comes from Sam Poser with Stern Agee.
Sam Poser - SternAgee: Good evening. Can you talk a little more about the trafficpatterns down in your market, because a lot of the other retailers havecommented that your neighbor in the south have been quite difficult, and you justsort of hinted at that a little bit, Gary. How are you keeping the traffic ingetting those conversions, especially in the Wal-Mart centers where they havecommented that their traffic is down and business is pretty tough?
Gary Smith: Well, the traffic is flat. Our transactions in units areflat for the third quarter, and our [comp sport] was up slightly, and that’s whenwe got our comp store gains. So, our traffic is flat, there is no question. Nowstrip centers again for the quarter outperformed enclosed malls, but for Augustonly, malls outperformed strip centers. That’s that urban customers, he didwell in August. Traffic was flat there is no question.
Sam Poser - SternAgee: Yeah, I just want to follow-up. I got the impression frommost of the other retailers that traffic was down. So flat is better than whatwas out there. And I sort of think -- what did you do to take more share thanWal-Mart, I guess just being in the parking lot?
Mickey Newsome: Well, I don’t know if we did anything different from apromotion standpoint.
Jeff Rosenthal: And it may have been a little bit more of a flow of productfrom a promotional or anything like that, we were pretty much the same.
Sam Poser - SternAgee: And then following up on yourinventory, it looks a little higher than you would like, but just eyeballingit, had you been a little bit off -- your sense of vision has been little offthe last few quarters, is this sale that's going to occur this weekend, thispromotional event, is that going to take care of that or with some of it therefor new stores and so and so forth?
Gary Smith: Well, the fact that we're opening20 to 25 new stores could be anywhere from $3 million plus worth of inventory.Then also with Thanksgiving being a little early and with the retail shift inthe calendar, we wanted to make sure that we got stuff into the stores prior toThanksgiving.
Sam Poser - SternAgee: So that would make up the entire10, it would make up that difference basically?
Gary Smith: Yes.
Sam Poser - Stern Agee: That’s 10 points?
Gary Smith: Yeah, I mean we always try to bebelow store growth or sales growth and improve our turns. If you sort of takethose factors that are little different than last year, I think you would comeback and see that our inventories are in pretty decent shape.
Mickey Newsome: Sam, another way of saying that.Typically, the first week of a month you bring in a lot of inventory. Well, wehad that first week of November in the quarter, and last year it was not in thequarter.
Sam Poser - SternAgee: Right. I mean, yeah, so you'redoing it on a calendar basis?
Mickey Newsome: Right.
Sam Poser - SternAgee: It's the same week, its justfollowing the different months.
Gary Smith: Correct.
Jeff Rosenthal: Perhaps a big reason too.
Sam Poser - SternAgee: Okay. Alright, thank you verymuch.
Mickey Newsome: Thank you.
Operator: We'll go next to Mitch Kaiserwith Piper Jaffray.
Mitch Kaiser- Piper Jaffray: Thanks guys, good afternoon. Iwas hoping, could you comment on your store than the store initiative withUnder Armour and Nike, where you're at with that, maybe in terms of number ofstores and what that might be for '08?
Jeff Rosenthal: Yeah, we're, kind of, have looked with Under Armour, we'recontinuing to open more. We, kind of, re-did our Under Armour concepts in ourstores and we're continuing to expand it, which will more than double. We dohave signage and other fixtures and stuff in a lot of stores, but our newstores of Under Armour, there is about 50, and we are going to do at leastanother 50 next year. And Nike, we are just doing some re-branding with some ofour fixturing that we currently do. So, both Nike and Under Armour, we continue to expand theshop-in-shop, if you want to call that, but with 5,000 square feet, it's hardto say that it's a shop-in-shop. There is not a lot of square footage devoted justto that.
Mitch Kaiser- Piper Jaffray: Okay, that's fair enough. And then Gary, maybe, could you help us justdirectionally on gross margin and SG&A, both on a fiscal and calendar basisfor fourth quarter?
Gary Smith: On a fiscal basis, we did a benefit in the calendar, but ofcourse we lose a weight, Mitch.
Mitch Kaiser- Piper Jaffray: Right.
Gary Smith: We've seen -- I would expect product margin rates to continueto improve year-over-year. However, with losing that week, I would think wewould see some slight deleveraging, but within an occupancy and an SG&Arate. The SG&A rate was a little over 8% for the quarter, and I reallydon't see that changing that much in the fourth quarter. What we are going tohave, we are going to have some more store openings to may be up a tick, but Ithink at the end of the day, it should be below the run rate of the incrementalstores that we put on.
Mitch Kaiser- Piper Jaffray: Okay. So if I look, it looks like it was up about a 160basis point on a fiscal basis. It would be below that for the fourth quarterthen, do you think?
Gary Smith: Well, we added more stores in the fourth quarter.
Mickey Newsome: You see it's not a real good comparison, because last yearwe had that 14th week.
Mitch Kaiser- Piper Jaffray: All right.
Mickey Newsome: So it's sort of tough, but I would think it would be in thesame range.
Mitch Kaiser- Piper Jaffray: Okay. Fair enough. Good luck, guys. Thanks.
Mickey Newsome: Thank you.
Operator: We'll go next to Ralph Jean with Wachovia.
Ralph Jean - Wachovia: Yes, thanks. Mitch just asked one of my questions, but thesecond question I had was: do you have a hard item for Christmas? A “must-have”item, anything to replace Heelys? Which I think was pretty good last year.
Jeff Rosenthal: Yes. We feel with some of the assortments that we've doneand most of that came in kid’s footwear that we still feel very strong aboutkid’s footwear. We think we have some good product offering. So we feel likewe'll comp that. We still feel very good about some of the Cold Gear from UnderArmour and some of the fleets from Nike and Under Armour. So we feel like someof those items will be extremely good.
Ralph Jean - Wachovia: Okay. Thank you.
Operator: (Operator Instructions) We'll go next to Jonathan Cramer with Cowen.
Jonathan Cramer -Cowen: Good evening. Just a quick question on: the competition orthe competitive environment in the malls.
Jeff Rosenthal: Well, we still see from a competition with the Foot Locker'sand the Finish Lines, I would say pricing is about the same as it was lastyear. And from a strip center standpoint, most of these markets were in smallermarkets that we don't have lot of competition. So I wouldn't say that it'sanymore promotional than it was a year ago.
Jonathan Cramer -Cowen: And are they beginning to retrench from some of yourmarkets? And, if so, are you taking share in those markets?
Mickey Newsome: Did you mean: close?
Jonathan Cramer -Cowen: Both, yes.
Mickey Newsome: Yes, we've had some closes, only a handful, but we have hadsome. And of course, when that happens, we certainly get a lot of insights. Wedon’t know about -- we don’t have knowledge of those closings in the future,but there will probably be some more.
Jonathan Cramer -Cowen: Okay. Thank you.
Mickey Newsome: Thank you.
Operator: We’ll go next to John Lawrence with Morgan Keegan.
John Lawrence -Morgan Keegan: Good afternoon, guys.
Mickey Newsome: Hi, John.
John Lawrence -Morgan Keegan: Mickey, would you just touch a little bit on some of thereal small markets you’ve entered like the West Point, Mississippi. And with a soft economicsituation, how do those stores perform?
Mickey Newsome: They are fine. We don't have any bad stores in Mississippi. Now, West Point, Mississippiis fine. The Forest in Mississippi,it's good. Of course, we are in almost every little town in Mississippi,Greenville, and our Mississippi store is good. Waynesboro is good. And certainly, Tupelo and McComb is good.Columbia isgood. We don't have any problems in Mississippi.
John Lawrence -Morgan Keegan: Okay. And certainly that urban customer coming back a littlebit certainly helps that?
Mickey Newsome: Yes, absolutely.
John Lawrence -Morgan Keegan: Right. Good luck. Thank you.
Mickey Newsome: Thank you.
Operator: And we’ll take a follow up from Sam Poser with Stern Agee.
Sam Poser - SternAgee: Just a quick follow up. In your guidance how promotional areyou, assuming the home-based businesses you might get from your competition?
Jeff Rosenthal: We plan on being at par with last year, and we expect withthe change in assortment that we are not going to have to be anymorepromotional for the whole fourth quarter, even though we have put somemarkdowns into Thanksgiving Week. We think overall fourth quarter that we’regoing to be at par with last year.
Sam Poser - SternAgee: Even if Foot Locker or Finish Line do get very aggressive?
Jeff Rosenthal: Yes.
Sam Poser - SternAgee: Thanks.
Operator: And there appear to be no further questions at this time. Iwould like to turn the call back to Mr. Newsome for any additional or closingcomments.
Mickey Newsome: Okay, thank you. In summary,everybody knows we're in small markets. We are going to continue to be insmaller markets. We can double our store base in the next five to six years. Wefeel that we have a great future ahead with sporting goods. Thanks for being on the calltoday. We look forward to speaking with you on March, the 14th, at 9:00 a.m. Central Standard Time withour fourth quarter results. Thank you.